Operator: Good day, ladies and gentlemen and welcome to the Q3 2011 Tenaris SA Earnings Conference Call. My name is Stephania and I’ll be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Mr. Giovanni Sardagna, Investor Relations Director. Please proceed.
Giovanni Sardagna: Thank you and welcome to Tenaris’ 2011 third quarter results conference call. Before we start, I would like to remind you as usual that we will be discussing forward-looking information in the call and that our actual results may vary from those expressed or implied herein. Factors that could affect those results include those mentioned in the company 20-F and other documents filed with the SEC. With me on the call today are Paolo Rocca, our Chairman and CEO; Guillermo Vogel, Vice President of Finance and member of our Board of Directors; Ricardo Soler, our CFO; Germán Curá, the Managing Director of our North American operation; and Alejandro Lammertyn, the Managing Director of our Eastern Hemisphere Operation. Before passing over the call to Paolo for his opening remarks, I would like to briefly comment our results. Notwithstanding the seasonal effect of lower sales to European distributors, third quarter sales increased to almost 2.5 billion or 23% compared to the third quarter of last year and 4% sequentially as we benefited from higher sales in our Tubes segment, where we recorded strong growth in Canada, Mexico and in the Middle East. Our EBITDA reached 620 million, which was up 13% sequentially and 17% compared to the third quarter of last year. Our EBITDA margin of 25% was up sequentially as the recovering margin in our Tubes operating segment more than offset a lower contribution from our project and other operating segments. Average selling prices in our Tubes operating segment were up 9% compared to the corresponding quarter of last year and 3% sequentially. During the quarter, our sales of high-end seamless products kept increasing and were over 55% over our total seamless volumes. As anticipated during our last conference call results, our project segment were lower sequentially due to lower volumes and lower component of high-value product in the mix. The Board of Directors approved the payment of an interim dividend of $0.13 per share or $0.26 per ADR to be paid at the end of this month in line with the interim dividend paid last year. During the first nine months of the year, our capital expenditure increased to 674 million compared to 561 million recorded in the first nine months of last year as we are advancing with our investments in Mexico, Italy and the U. S. Now I will ask Paolo to say a few words before opening the call to questions.
Paolo Rocca: Thank you, Giovanni, and good morning to all of you. In September, some of you had the opportunity to be with us in Veracruz. There, you were able to see our new rolling mill, our research and development center, our Tenaris University training facility and have good ideas of our company through talking to our managers and our employees. We discussed how we were seeing and we are seeing the market, our strategic positioning and the competitive environment. And we look at our competitive differentiation internal products and that’s a capability. The service we offer to our customer and the advantages of our global presence. But above all, I hope you came away with the impression of our execution capabilities, as this will be our main challenge for the coming quarter and in a demanding market. Our third quarter results reflected a positive impact of the growing market demand for our oil and gas product and service and particularly for our premium product for complex application. This is reflected in the increasing sale in the product mix and in the operating margin improvement. Sales in the Middle East and Africa rose 18% sequentially led by higher sales in Saudi Arabia. The increase in Saudi drilling activity with the complex project they are developing among which Arabia, Red Sea and Manifa is now being reflected in our shipment. Our premium threading facility in Dammam will soon operate close to capacity. For the (inaudible) project, we were awarded an important role for complex corrosion resistant alloy material to be threaded with blue and red connection at Dammam. Shipment of premium product to the rest of the Middle East are also increasing as project in Iraq, in United Arab Emirates and Kuwait move forward. In North America, our sales rose 9% led by higher shipment in Mexico and Canada. Drilling activity has increased in Mexico as Pemex has resumed operation in Chicontepec. During the quarter, our sales in Mexico increased 40% sequentially. In Canada, the numbers of meter drilled in the third quarter was up 28% year-on-year. Also gas drilling has been affected by low North American gas prices, while drilling is up sharply and permanent shale projects are moving forward. Shipment of TenarisHydril premium threaded products rose strongly this quarter. This shipment included the first of our new edge 625 connection, which will be run next week in the Eagle Ford shale. We have advanced with the testing program for this integral connection and we are now ready to supply 90% of the sizes required for its target market application in the shale. We see a growing and demanding market as our customer move forward with their drilling program and projects. And our perception is that in spite of the present economic and financial volatility, the situation now looks different from that of 2009. The oil and gas industry focus on long-term challenges of increasing production. Our challenge in this environment will be the execution in every area, in capital investment, in research and development, in improving operational efficiency, in safety and environmental performance, in containing and using cost and in delivering our products and service to our customers in accordance with their requirements. I will now give space for question and answer.
Operator: (Operator Instructions) The first question comes from the line of Ole Slorer from Morgan Stanley. Please proceed.
Ole Slorer – Morgan Stanley: Thank you very much. If I look at the trends pipe logic has been flat, a little bit down as of late, but clearly input costs are also falling fast below the other markets. Can you talk a little bit about how this is trending as we go into the fourth quarter?
Paolo Rocca: Yes. Good morning, Ole and thank you for your question. Well you’re right, the Pipe Logic is stable. As you know and we mentioned this in the last conference call, we can see that pipe logic is really reflecting the low end of the market and is not capturing what is happening in large part of the market, which is especially in the shales and the more complex product environment and are representing a much larger shale. I imagine that the low end of the market in the coming quarter will not move up so much because there is presence of input, there is pressure, competitive pressure in this even in an environment of high demand. But you are right we are seeing our cost going down. So we, in this quarter, we didn’t see the extend and probably we will not see the full effect of this in well the product in the fourth quarter. But we will see it reflected in the first and the beginning in the second of, in the first half of 2012. But I would ask German, if you can add something on how you expect this combinational effect between pipe logic and cost in the first half of 2012.
German Cura: Thank you Paolo. Well, I will simply add Ole that the dynamics continue to be sow at a low end, but fairly different at a high end portion of the market. We continue to see a component of particularly low inputs, sizeable inputs and that are creating some price impressions and we believe that this is going to continue to be so in the coming quarters as well. Now as Paolo just indicated a raw material, what we call it particular trending down, we believe that this is going to remain for the remaining part of the year. And I understand that we’re going to see the full effect of this most likely first quarter next year.
Ole Slorer – Morgan Stanley: Thanks for that. So if we then talk about the pricing in premium, which isn’t visible to us as the indexation in pipe logics, can you talk a bit about what’s going on in the premium. Are those prices offsetting as well or are they holding up?
Paolo Rocca: Well, as you know the – we are explaining to our clients that what we can see there is the limits of pipe logic and so we are also renegotiating incentive or re-discussing pricing formula in some of our agreement. Germán, do you see these to have an impact in the pricing of especially well the product in the next –?
German Cura: Yeah, well what we see Ole is that the customers are recognizing that the basket of pipe logics contains no premium connection items whatsoever. And at the same time, that is particularly in the State that the premium connection requirements vis-a-vis the total upper end demand have increased in a very important way. So though pipe logics continues to be a rapid and I think it’s fair to say that while we discuss premium connection pricing, it’s only a reference much more than a formula that is applied. To some extend and some of our existing contracts with pipe logics, it’s just got begun a reference and customers are more than flexible in terms of understanding the fact that the premium connection space leaves in difference dynamics.
Ole Slorer – Morgan Stanley: So even then it’s a validated price, the year connection, you’re able to just engage from pipe logics in this occasion?
Paolo Rocca: I say yes and this is particularly true on some portions of the market. The Gulf of Mexico probably is a good example of what we’re just talking about.
German Cura: Yeah. I would add to this. Some of these materials that it goes to the very low-end of drilling in the stage. So we’re assuming here Ole that we have now, let’s say, irrelevant impact of the economic and financial crisis on the prize of energy. Because this is not the assumption on which we are discussing. There is a major change, probably some of this drilling that is acquiring low end material could be delayed or could be some of this rig could be – could get out from the drilling arena.
Ole Slorer – Morgan Stanley: I don’t know if you have general on the call, but Mexico is an area you highlighted the 40% sequential growth in, (inaudible) revenue or volumes, but by the way oil field services company that’s reported so far have been very – are positive on the rebound in Mexico both in this quarter and also next. Can you talk just a little bit about what you are seeing in Mexico and the outlook?
German Cura: Yes. The 40% increase we are talking about is an increase in revenue and the – what we’re seeing in Mexico is clearly coming back of Chicontepec. I would on this issue ask to Guillermo to give some highlights on how we see the future for Pemex, but clearly Pemex has very important development in the medium term. Also on gas, on shales and this will be developed over time. Guillermo?
Guillermo Vogel: Yes. Good morning. Hi, Ole. It’s nice talking to you. I think that as we mentioned during the Veracruz trip, we were looking and we’re still looking at a nice rebound of Pemex in the second half of the year compared with the first half. Right now, we’re in a level of around 135 rigs in Mexico and what we are seeing in the short term is that level to be sustainable for this year and for 2012. I think that perception we have is that Pemex is well organized and is working in order to maintain this level with the higher activity in Chicontepec and also in the South east region of Mexico. And going a little bit forward into the future, I think that we are going to start to see some positive development, especially in the shale area, we’re starting to see Pemex focusing much more on the shales. Pemex has the advantage that they have a well definition of the shale area because they did all the exploration in terms of Burgos, so they were going through the shales trying to get to deeper areas. And so although I don’t think we’re going to see something for 2012, I think that we are going to start to see something more intensive going forward because they have a lot of information and a lot of that, as you know, Eagle Ford example, expense into Mexico and it doesn’t only go in to Mexico, but I think it expands the area in Mexico. So there is a very good chance of seeing some future developments there. And I think there also Chicontepec, we’re going to see some further development and also in the offshore drilling. So I think that on the short-term, my perception is that we’re going to see that the additional volumes that we are pursuing right now for the third quarter are going to be here for the rest of the year and for next year and then we’re bullish that we’re going to see increases moving forward because of the influence of the shales offshore and Chicontepec.
Ole Slorer – Morgan Stanley: Thank you for that. And Mexico is looking good and finally just a quick one, are you seeing any shale directed sale outside the Mexico or North America in general, are there any other emerging shale plays that you’re starting to ship to, everybody is of course keeping a close eye on the Argentina and what’s going on there, but is it too early, are we starting to see some volumes to international sales?
Paolo Rocca: Well, we have to see definitely activity mobilization and investment from the oil company going in to shales in many different part of the world. This is very important for us. We have built a strong position on shales on a product, from a product point of view and from the service point of view. So the experience we’ve developed in the states and in Canada will be very helpful and position ourselves very well in Mexico. In Argentina we are seeing the first wells I know you about YBF are drilling in Canada for fields still they are testing a development (inaudible) resources are huge and Argentina is importing 30% of the gas during winter time. So there is a definite need to expand the gas production and there are resources there that have to be developed. The same is true for Europe, in Eastern Europe, in Poland we’re supporting different companies operating in that area. The same is true for China I know this is starting, but we are more let’s say we are not so close to have a clear perspective and we expect this to happen later on. But on Eastern Europe, that is very interesting for us may be Alejandro you can comment something on what we’re doing.
Alejandro Lammertyn: Yes we have done the first shale projects with Lane, Conoco now seven is also moving. In Poland we are also having very good prospects in Romania and in Austria where (inaudible) is starting to exploring the shale. So all that areas that are well known for us. We have also a set new service base in Palestine Romania that would help us service base for all the Eastern Europe for shales. So we think we had a very good condition there to cover the region.
Ole Slorer – Morgan Stanley: All right, gentlemen. Thank you very much. Thanks for answering my questions.
German Cura: Thank you.
Paolo Rocca: Thank you, Ole.
Operator: The next question comes from the line of Blake Hutchinson from Howard Weil. Please proceed.
Blake Hutchinson – Howard Weil: Good morning, gentlemen.
German Cura: Good morning.
Paolo Rocca: Good morning.
Blake Hutchinson – Howard Weil: Just curious your release outlined pricing mix as well as your plant level, changes in terms of plant level production in terms of driving operating margins in the tubular section or segment. How important is the shift or additional volumes, Veracruz to running through Veracruz to the margin we saw in the quarter versus mix and pricing and given that it looks like the mix will be permanently shifting towards Veracruz, should we expect a higher margin profile just for that fact going forward?
Paolo Rocca: Well, the startup of our mill in Mexico is very important. It was going following the step of curve that we designed in this month, the plant is producing around more than 25,000 tons. This is – now, we are completing the start-up of the finishing line heat treatment, threading and the line operating and are also on the startup curve. So gradually, the mill is deploying its full capability. This is allowing us to increase and expand volume in a global level and also to reallocate production in to areas in which the mill has competitive advantage. We see this and the fact that our costs are more or less stable even when our mix is becoming more and more complex. We hope that during 2012, we will really see the full effect of this, also even if the mill has reached the level of rejection and costs even now that are probably very close to the steady-state operation and the condition of the mill. There are still improvements that we can get. So we will see the impact. We are seeing this in this quarter, we will see in the next and we will see it in 2012. This is displacing production from some mills that have higher cost.
Blake Hutchinson – Howard Weil: Great. Thank you. And then just the growth rate in Mexico quarter-to-quarter. I mean how much of that would you say is reflective of true underlying activity versus I know we had a kind of a catch-up with some invoicing issues through Pemex from Q2 to Q3, so should we take that as underlying growth rate or was there some invoicing catch-up in there as well?
Paolo Rocca: No, this is online. As you know, our Mexico, for the good or for the bad, we’re very synchronic, we’ve supplied just in time, the Pemex has no stock. We supply just in time. So the increase in volume in revenue that I mentioned is reflecting real activity. What maybe this quarter has been a good quarter from the point of the weather. There has been no disruption due to – no substantial disruption due to heavy rain or storm. These are the things that usually Mexico could reduce our shale. In this sense, remember that in June, in the previous quarter, we had some disruption. So the increasing revenue is taking into consideration that the starting point, which was the last quarter figure had some disruption due to operational problem in the drilling plan.
Blake Hutchinson – Howard Weil: Great. Thanks. And then one final question, you mentioned Saudi volumes driving your success in the Middle East. I know there has been a large tender out there for a good portion of the year. Is that an indication that the tender has been decided and you’re getting share from that or is this just more of their current operations and you still expect additional volumes from the result of the tender?
Paolo Rocca: Well, you’re right that in this quarter, we’re seeing a relevant increase in our shipment on to Saudi in segment and in product that are very high-end products. But anyway I will ask Alejandro to give us a view of what we can expect also for the future from Saudi Arabian programs?
Alejandro Lammertyn: Yes. As you mentioned, we are starting to see the realization of the results of the tender that we were mentioning in previous conference calls. So we will see for a period of time this volume related to – the tender that relates to a higher activity of Saudi Arabia. So we will think that we’ll be sustainable in time. But it’s Middle East, it’s not only Saudi Arabia, it’s also the Emirates, they are (inaudible) are increasing activity and we’re taking an important share there. And also sustained activity in Iraq where we are having an important share.
Blake Hutchinson – Howard Weil: Great. Thanks, gentlemen. Thank you for your time this morning.
Alejandro Lammertyn: Thank you.
Operator: The next question comes from the line of Stephen Gengaro from Sterne Agee. Please proceed.
Stephen Gengaro – Sterne Agee: Thank you. Good morning, good afternoon gentlemen.
Paolo Rocca: Good morning.
Stephen Gengaro – Sterne Agee: I guess two things. First, can you give us your sense for just sort of on the premium side obviously the supply demand you see right now for CMS either geographically or just a general worldwide view and then how you see capacity additions impacting that over the next say a year?
Paolo Rocca: Well, clearly premium demand is growing at a much higher pace than over those demands for (inaudible) worldwide. This is something that is underway last few years and is something that we expect to continue in the next future. Clearly this is driven by the new horizon and non-conventional offshore shales, some of the development in mature field with different technologies and all of this is driving the increasing premium. On top of this there is a demand for higher, for a more reliable operation in this environment that is also moving company to shift into product that has higher resistance, higher torque, high compression pressure resistance. And this is the trend that is driving basically our operation. In the U. S. maybe this is very evident and on a large scale because of the shift to the horizontal drilling and this is in the area of the world in which this is happening on a large scale. But we see this and we perceive this also in different area from Africa to Middle East to Caspian Sea to the Northern Sea and to the Far East in the area like Australia. So the LNG demand is increasing for different reason also for the higher demand and the additional push received from the scale down of nuclear program is also moving projects that are very intensive in premium in country like Australia, also in area like the Middle East or Africa. So I would say it is a strong trend, it is affecting different technology, different area of the world, you can find this in all of the different region and this is where I am saying we are designing our investment program in the last three years, increasing our capacity in all of these regions from Brazil, Australia to Indonesia, to North America. The question for us is also product development. When I mention execution, it is not only execution of investment put into operation, getting fast to the level of performance that we need and quality and reliability, but also development of product that could feed for the new generation of non-convention that are coming, because the technology is changing, the frontier of this is moving and we have to be following these very closely. It would be a challenge for Tenaris in the medium term.
Stephen Gengaro – Sterne Agee: And how do you think about that in terms of the demand drivers versus supply coming into the industry, does that worry you from a price and margin perspective or do you not think there is a big enough supply growth to be a concern?
Paolo Rocca: For sure, established players are also increasing their capacity. But I would say the move of new player into this arena really is very difficult for established player, oil company, international company and national oil company. To shift to supplier that has no track record limited testing, limited design capability, limited technical sales support capability is a major challenge, they are taking risk either in offshore or in the shales and basically we do not see this process of adding on new supplier going on very strong. So we are confident that if we follow or anticipate the capacity need of the industry, we should be able to maintain a leading position in this competitive environment without changes, sudden changes or relevant changes in the mid-term.
Stephen Gengaro – Sterne Agee: Great. That’s very helpful. And thank you and just one quick follow-up on the SG&A side, it dropped about 100 basis points as a percentage of revenue versus the second quarter. Any guidance on how you should think about that line going forward?
Paolo Rocca: Well, this also is a question as I say, of execution. We are in a process of cost reduction. In some of the region we are achieving results, but I would ask to Ricardo apart from this point that we got in this quarter, how, what we have in front of us and how you see the containment or reduction of SG&A going on?
Ricardo Soler: Yeah, thank you Paulo. This quarter as Paolo said we reduced one percentile point to our SG&A but also an amount we could have on reduction in costs. Going on for the year we maintain a couple of – goal around 18.5%. And for next year with all our estimates worked out to reduce the fixed costs. We think that we’re kind of right to another 1% of point reduction for next year.
Stephen Gengaro – Sterne Agee: Great. That’s very helpful.
German Cura: Thank you.
Paolo Rocca: Thank you.
Operator: The next question comes from the line of Julien Laurent from Natixis. Please proceed.
Julien Laurent – Natixis: Yes, hi thank you. Just regarding the use of cash, you’ve just said the offer on Confab minorities. So what would be the purpose of the use of your cash? When do you think that you could decide about an investment in the new steel shop in Veracruz?
German Cura: Well that is of Confab, we made an offer but we don’t say that’s a very good offer. The price premium for acquiring the preferred share from the market had a premium of around 35%. Then the meeting of the preferred shareholder come out with the request of important increase in our evaluation. We decided that this was not the case and that is why we withdraw the offer. And for the future, we will see. In this case, also the volume of cash that would be in use of this was important, but was not really changing, let’s say, so important from the point of view of Tenaris. As far as the rest and let’s say our net cash position, it is putting us in a very good condition for proceeding our internal investment plan. Considering option that we may have for reposition Tenaris or for strengthening our operation in some of the region and so this is what we are doing. We’re looking and considering alternative opportunities that we may have for further growth.
Julien Laurent – Natixis: Thank you. One other question if I may. Regarding the outlook for project, what sort of volumes can we expect from next year project division?
Paolo Rocca: Well, project division goes up and down all because sometimes we have project in this case the volume of this growth has been quite below the level of last quarter. This will get up again. There are important projects in Brazil, it depends from the timing of the progress and we know that this will come. We are well-positioned for getting the order when needed, but this is something that we will see during 2012.
Julien Laurent – Natixis: Thank you.
Operator: Your next question comes from the line of Amy Wong from UBS. Please proceed.
Amy Wong – UBS: Hi, good morning. I have a couple of questions. The first one is your comment on expecting high activity in North America. We’ve heard from some of the large international oil companies that they’re starting to see pockets of weakness in certain (inaudible). So could you perhaps just give a little bit more color of what you’re seeing in North America and perhaps if there is a little bit of divergences between perhaps Canada and the U. S. And my second question relates to the evolution on how we should be thinking about average selling price over the next few quarters, if you expect it to increase, how much of it is due to actual pricing increase in your product and how much of it would be due to a mix effect in terms of just delivery, more premium products? Thanks.
Paolo Rocca: Okay. So, on the first question concerning North America and Canada, I’ll ask German to comment.
German Cura: Well in generic terms, Amy, good morning, by the way. We tend to refer as North America with Mexico and we talked I think about it reflecting a higher level of activity compared to two quarters ago going forward. Canada has been particularly active when we look at the 500, almost 550 rigs. This is probably levels of activity that we saw back in 2008. And I think going forward into the new Canadian season, there is no structural reason to assume that that will change, given that Canada is today devoting about 7% of the activity efforts to oil. So these are I think the two major components. Outside of the U. S., we tend to stay a little bit more cautious. I think we reached a level of more than 2000 rigs. The view we have is in some areas we’re going to probably see some gas rigs that are devoted to dry gas continue to probably come down and in genetic terms offset by oil rigs that continue to increase or rigs devoted to wet gas. So all in all, we on average see a slight increase, but not much. But again, when you look at North America as a whole, as we reported, we today feel fairly strong about the sustainability of the level of (inaudible).
Paolo Rocca: Yes. The second question on how we see the margin and prices going on?
Guillermo Vogel: Well, you have seen here that our margin increased in this quarter. If there are no major economic and financial disruption, which is not something we can roll out because as you all know, I mean this is a very volatile situation. But if let’s say emerging market to maintain a dynamic and energy prices stay where they are or go ups and downs lightly, but not dramatic change, I think that we will face a good demand and we will have the chance to improve on the mix. It will be the way that our prices could go down, our margins will go up. But in the end, it could be a little more seamless. There could be a better margin, well, that’s because of lower cost entering into our entire – our accounting of the hot-rolled coil that we are purchasing and we purchased this time at lower price. Then increasing our high end share on the total Middle East is important if the demand is steady there, some of the products are very demanding products like the example we made in the case of the CRA, value of demand. So this product has good margin and we should be able to continue on the cost containment in the different countries in which we operate. All of this are contributing to strengthening of our margin, but it depends on mass execution and this is very important, very important compliance, is very important it’s comprised well of client, our client today are demanding fixed compliance and time and quality and safety in product development. So our focus in this moment is on this. I think that we comply with this. Our margin should go up in these.
Amy Wong – UBS: Great. Thank you very much.
Operator: The next question comes from the line of (inaudible). Please proceed.
Unidentified Analyst: Hi, good morning. Just three questions here. First one is a follow-up from one of the questions from other analysts. You mentioned that the lowering cost with stock would particularly benefit well that margins, is it valid for the seamless as well? So that’s question number one. Question number two, related to the offer for Confab in Brazil, is it a done deal that the offer will be canceled? Do you need any approval from the CVM to have it canceled? Does that change your strategy towards Brazil in any way in terms of future investments or could you, would you be thinking about future investment separately from Confab? And then the third question is if this is canceled now, is there a chance that comes back with that offer anytime in the future and if there is any condition that you guys have to follow? And then third question relates to Argentina and all the noise we have been hearing on the government chasing on the dollar flows and potential constraints on dividends and export revenues if you could, just give us a bit of color on whether you see this as a big risk and if it affects the narrowest operations in the country by any means?
German Cura: Yeah, well, first on the first question. The lower level of cost will improve our margin, but basically will help us to get back to a reasonable margin. I mean because this quarter for instance, margin of well has been severely affected by the high cost of well. So in the end, we will be going back to a more normal situation in the coming quarter. I don’t think it will affect to the same extent seamless because in the end in seamless, our line is more integrated and the reduction in the price of strap has probably been not so strong as the one we have seen in the case of hot-rolled coils. I don’t know it will help especially for our Argentinean operation, but I wouldn’t be so sure that prices in the medium-term will remain at the present price. I mean there has been (inaudible) I think due to the excess stock in a Chinese Board and so in the price of iron ore. As far as basically your concern on did not changing our strategy at all, we are continuing with our investment in the research center in Brazil in our investment in strengthening our capability for premium and for high-end product in Brazil. Our strategy will not change. For instance, the investment in Confab for installing a new press a new press, a new machine that could fulfill the most demanding product for the offshore sure will absolutely run and in fact we are signing the order for the missionary and so on. So we go on with all of this. We can also, if the condition change or if there is a different point of view on or we can find it has a different reception, we can also get back to why our offer of acquiring shares, let’s say, non-voting share of Confab in the future. As far as Argentina is concerned, well, I think that after the election, the governance is redefining – reconsidering some of its plan as intervening in some of the variable. Frankly I don’t think this should affect us so much. We are very large exporter, we are contributing to the Venezuelan payment in the current account of the country, so I think there is interest on every party to maintain and support all sort of our operation there. So we do not anticipate major changes in the way we operate in Argentina.
Unidentified Analyst: Okay. Thank you.
Operator: The next question comes from the line of Christian Audi from Santander. Please proceed.
Christian Audi – Santander: Thanks. A few questions. I’ll take one at a time to make it easier. First one Paolo you talked about the improvement in the U. S. high-end segment. Can you just clarify today as you look at your sales mix in the U. S. more or less what percentage relates to high-end versus low end products and also for the U. S. market as a whole, what would you say, what percentage of the U. S. market would be classified as high end versus low end?
Paolo Rocca: Yes, I will ask German to tell you what we can tell you.
German Cura: Well, good morning Christian. And actually for competitive reasons I don’t think I’m going to be able to answer the specifics of your question, but let me tell you a couple of things which I think conservative as a guidance. Tenaris has about 35% of the U. S. premium connection space markets. And this has been the case for the last many quarters and continues to be so. And it’s a space a premium connection space that as we have discussed that continues to grow, not only associated with the shale development that we talked about, but also Gulf of Mexico recognizing that Gulf of Mexico was initially planted by us as more of a transition year, we’re starting to see operators on deepwater Gulf of Mexico already booking orders. And we’re talking about substantial quantities. And this is all naturally not only premium connections associated but higher grades, high-end stuff. So bottom line is a very important space of Tenaris, continues to be so, if you grow the space. I hope that the 35% market share of premium connection helps you to at least guide where we stand.
Christian Audi – Santander: No, enough, thanks. And the other – the second question was as you look at your mix, which continues to improve and you mentioned it reached a level of 55% this quarter, which is an important improvement versus last quarter. Is it realistic to think that into the fourth quarter or first quarter of next year, this 55 number can grow even more. I mean that’s already a high number. Is it realistic to think that it can reach a 60% level over the next six months or is that too aggressive of you?
Paolo Rocca: Well, this should increase and we are trying to do whatever we can to increase this component in our mix. This will not be sudden changes. It will change slowly and there could be ups and downs because in the end, in a quarter, there could be major or there are important delivery that some times are influencing the percentage wise. But, yes, it will increase, it will do this slowly. And it will depend also from our ability to execute on time the investment plan and the expansion of our premium capabilities in some parts of the world.
Christian Audi – Santander: Okay. And the very last question on the topic of Confab, probably – in reading the recent press release that you send out, the one aspect of it that isn’t clear to me that I was looking for your help is I understand you’ve made a request to withdraw the offer and I understand that there was a request by minorities for a second valuation. Do you have to wait until the second valuation to officially withdraw the offer? In other words, does the CVM have to approve your withdrawal offer or no, you don’t need the CVM to approve it. Can you just clarify? It’s unclear to me how to read that space?
Paolo Rocca: Yeah. No. We do not need to withdraw. The question is that in Brazil, the process for presenting an offer is different from other parts of the world. You cannot present and discuss with the CVM the confidential offer, get it cleared and then made an offer and stick to it. When you present it with CVM, you have to do it publicly. Then there is this process of discussion also with shareholders. And (inaudible) into an assembly and they got the second valuation, but made very clear that they were willing to accept only a very substantially higher offer. So at this point, we see no merits in going on for a second valuation and we decided we withdraw, which is perfectly something that is in our rights and needs no authorization because in the end, there was no official offer to the presentation of our request.
Christian Audi – Santander: I see. So you don’t need to wait for the second valuation to begin in order to officially –?
Paolo Rocca: No, no, there will be no second valuation because we withdraw the offer before launching the second valuation.
Christian Audi – Santander: I see.
Paolo Rocca: We decided to get back it before this.
Christian Audi – Santander: Understood. Okay. Very helpful. Thank you very much.
Operator: I will now turn the call over to Mr. Giovanni Sardagna for closing remarks.
Giovanni Sardagna: Well, if there are no other questions, we would like to thank you for taking part in this conference call. Thank you very much and goodbye.
Alejandro Lammertyn: Thank you.
Paolo Rocca: Thank you. Thank you very much, gentlemen.
Operator: Ladies and gentlemen that concludes today’s presentation. You may now disconnect. Have a great day.